Operator: Good afternoon, and welcome to the Brookline Bancorp, Inc.'s Third Quarter 2023 Earnings Conference Call. All participants will be in listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please note, this event is being recorded. I now like to turn the conference over to Brookline Bancorp's Attorney, Laura Vaughn. Please go ahead.
Laura Vaughn: Thank you, Alex, and good afternoon, everyone. Yesterday, we issued our earnings release and presentation, which is available on the Investor Relations page of our website, brooklinebancorp.com and has been filed with the SEC. We will not be doing a slide flip this quarter. This afternoon's call will be hosted by Paul A. Perrault and Carl M. Carlson. This call may contain forward-looking statements with respect to the financial condition, results of operations and business of Brookline Bancorp. Please refer to Page 2 of our earnings presentation for our forward-looking statement disclaimer. Also, please refer to our other filings with the Securities and Exchange Commission, which contain risk factors that could cause actual results to differ materially from these forward-looking statements. Any references made during this presentation to non-GAAP measures are only made to assist you in understanding Brookline Bancorp's results and performance trends and should not be relied on as financial measures, of actual results or future predictions. For a comparison and reconciliation to GAAP earnings, please see our earnings release. I'm pleased to introduce Brookline Bancorp's Chairman and CEO, Paul Perrault.
Paul Perrault: Thanks, Laura, and good afternoon, everyone. Thank you for joining us for today's earnings call. Yesterday, we reported net income for the quarter of $22.7 million or $0.26 a share. Our bankers remain active, and we continue to see lots of opportunities to bank strong new relationships in our markets. The loan portfolio grew by $40 million and customer deposits grew by $88 million in the quarter. Nonperforming assets increased slightly in the quarter off historically low levels, and remain less than half of 1% of total assets. Net charge-offs for the quarter were $11 million, which were largely previously reserved for. Net charge offs over the past 12 months represent approximately 14 basis points, while the allowance for loan loss represents 127 basis points of total loans. I'll now turn it over to Carl who will review the second quarter results.
Carl Carlson: Thank you, Paul. This quarter's total assets finished the quarter basically flat with Q2, driven by a reduction in cash and securities, partially offset by the growth in loans. The banking teams generated net loan growth of $40 million in the quarter, with growth of $48 million, split evenly between C&I and Equipment Finance, the declines of $1 million in commercial real estate and $7 million in consumer loans. In the third quarter, we originated $562 million in loans at a weighted average coupon of 726 basis points. This increased the weighted average coupon on the loan - core loan portfolio 14 basis points to 582 basis points at September 30. On a linked quarter basis, the yield on the loan portfolio increased 14 basis points to 5.84%. On the funding side, customer deposits grew $88 million and brokered deposits were reduced $39 million for net growth in deposits of $49 million. Growth continued to be in higher rate savings and time deposits, partially offset by declines in DDA NOW and Money Market products. The average cost of total deposits increased 24 basis points in the quarter to 228 basis points. Total average interest-earning assets declined to $110 million on a linked quarter basis, and the net interest margin declined 8 basis points to 3.18%, resulting in net interest income of $84 million, a decline of $2 million from the second quarter. Non-interest income was $5.5 million for the quarter, which was consistent with the prior quarter. Expenses were $57.7 million for the quarter, up $900,000 from Q2 when excluding merger charges recorded in Q2. Provision for credit losses, was $3 million for the quarter, down $2.9 million from Q2. Yesterday, the Board approved maintaining our quarterly dividend of $0.135 per share, to be paid on November 24 to stockholders of record on November 10. On an annualized basis, our dividend payout approximates a yield of approximately 6.3%. This concludes my formal comments, and I'll turn it back to Paul.
Paul Perrault: Thank you, Carl. We will now open it up for questions.
Operator: Thank you. [Operator Instructions] Our first question for today comes from Mark Fitzgibbon of Piper Sandler. Your line is now open. Please go ahead.
Mark Fitzgibbon: Hi, guys. Good afternoon. Carl, I wondered if you could share some thoughts on the net interest margin. The rate of decline has obviously slowed some. Any help that you could share, with us on fourth quarter NIM in terms of additional margin compression?
Carl Carlson: Sure. Again, it's very difficult to estimate, what's really going to happen here. Last quarter, we saw July's deposits - really not a lot of movement on the deposit side that, accelerated in August. So, I didn't think, we are going to have as much NIM compression as we did experience, eight basis points. But right now, we're estimating to be around five to six basis points next quarter. But again, that all depends on what's going on with deposits. We're kind of modeling some aggressive moves - continued aggressive moves in deposits. Our bankers are actually suggesting, it might be far less than that, but we'll see.
Mark Fitzgibbon: Okay. Great. And then secondly, I wondered if you could share any details, with us on that $14.8 million commercial real estate loan that went on nonaccrual?
Paul Perrault: Office building here in Boston. It is very well owned. It is significantly occupied, but they have not been able to get it over the top and we're working with them to create an environment where they can be helpful and we can be patient. And I'm pretty optimistic that, that will be in the right place fairly soon.
Mark Fitzgibbon: Paul, you say well owned, was there participation with a bunch of other banks?
Paul Perrault: No, no. It's a property owner and manager who has partners in it with him. I think, we may have participant bank to - on our side. But I was really referring, to it's a bunch of investors, who own it and it's managed by one very able guy.
Mark Fitzgibbon: Okay. And any color on what the LTV and debt service look like at origination?
Paul Perrault: I would be speculating. It would look like most of our originations, which would have been a pretty low loan-to-value with a pretty high coverage ratio.
Mark Fitzgibbon: Okay. And then I guess I was curious at a high level, you guys traffic in a lot of different commercial and commercial real estate areas. What areas are you sort of monitoring most closely today, or where you have kind of enhanced monitoring. What pieces of the loan book, are you most focused on and watching carefully?
Paul Perrault: Well, I think it's got to be office, which represents about 8% of our loans. We've got maturities coming up over the next few years that don't amount to a whole lot, but we're just trying to monitor, what the cap rates are looking like, what trades are happening in the marketplace and occupancy. But it's really been very quiet, particularly in Metro Boston. It's been a little bit more active in Westchester. But most of the loans, as you know, are sort of inside 495.
Mark Fitzgibbon: Okay. And then last question for me. Clarendon Private, any updates there? How are things going, or - and an update on asset under management?
Carl Carlson: Yes, we're still not reporting that out at this point, still early in the game, but everything is proceeding as we expect.
Mark Fitzgibbon: Thank you.
Paul Perrault: Thank you, Mark.
Operator: Thank you. Our next question comes from Nick Cucharale from Hovde Group. Nick, your line is now open. Please go ahead.
Nick Cucharale: Good afternoon, everybody. How are you?
Paul Perrault: Good Nick. Thanks.
Nick Cucharale: Another strong quarter for growth in the Equipment Finance division. How high are you willing to take those balances, as a percentage of the total loan portfolio? And can you comment on, how you're approaching credit risk in that segment considering the higher rates, to customers and overall economic environment?
Paul Perrault: I've long held that I would be comfortable up to as much as 20%, of the loan book would be in the Equipment Finance area. We're well below that at this point. And I think that - they are carrying on business as usual. They are seeing consolidation in a lot of the areas where they operate. So, they see opportunities to bulk up for some of our customers. And with the inflation being as it has been, I think that their operators are able to take care of these deals, at the higher rates. It really hasn't been a problem. We haven't seen any uptick in delinquencies or anything.
Nick Cucharale: Okay. That's helpful. And then just to follow-up on the deposit discussion. At this point in the quarter, are you seeing stability in your demand deposits?
Carl Carlson: We are. So, we're still seeing some runoff, but not as aggressive as we've seen in the past. But I would have said that last July, too. So, I'll couch that as we go forward.
Paul Perrault: And it jumps around.
Carl Carlson: It jumps around. It does jump around, but it's slowing down.
Nick Cucharale: Fair enough. Thanks for taking my questions.
Paul Perrault: Okay.
Operator: Thank you. Our next question comes from Steve Moss of Raymond James. Your line is now open. Please go ahead.
Steve Moss: Hi. Good afternoon. Yes curious here - just curious here, if you just talk about loan pricing, you know where new loans are coming on the books and kind of that dynamic?
Carl Carlson: Sure. What would you like to know?
Steve Moss: Where are you pricing today and versus what did you put on in the third quarter? Let's put it that way?
Carl Carlson: So third quarter numbers are on average for the third quarter. So things are comping in certainly higher than that. As you know, the five-year has moved substantially even since September. So, I don't have specific numbers to-date, but all the pricing is doing much, much better on the loan side. And so, we're very optimistic there. On the deposit side, the funding side, what I'm optimistic about is that we really haven't moved our rates much - on the price - on the deposit side at all. Even though we've seen naturally, the longer part of the curve from two out of 10 move particularly around five to 10, moved quite a bit. We've not had to move our pricing on our deposit side, and we still consider - we're still seeing growth - continue to grow our customer base there. So pretty optimistic in that sense.
Steve Moss: Okay. And then in terms of - just other question related to the margin, just curious what was purchase accounting accretion for the quarter?
Carl Carlson: One sec on that. $2.6 million almost $2.7 million on loans.
Steve Moss: Okay. And then in terms of just curious on expenses here, how are you guys feeling about expense trends into the fourth quarter, but also just even next year in the current environment?
Carl Carlson: We feel like, we're going to be right around this area, around the $57 million quarter at this point with slight growth going into next year.
Steve Moss: And then just one more from me. I saw on the deck, you guys had your maturities, the first CRE over the next 24 months. Just curious kind of what's coming due? Should we think about the maturities having a similar LTV, to what you show in the earlier slides as the overall composition of the portfolio? And do you see any stress in that CRE maturity pipeline?
Carl Carlson: I don't have the maturities by quarter or by the maturity buckets in front of me. But as Paul mentioned earlier, I imagine they're going to be very similar to the overall portfolio. It sounds like we have a lot of - pretty much steady of what we actually book.
Paul Perrault: Those loans were well underwritten. They've performed very well. The expectation is that, that will continue. And in terms of current loan-to-value, it's a very difficult environment, because there have been so few trades, but it's very hard to pinpoint what something is worth right now. There have been a few sort of spectacular crashes, of things that have been around here, a few buildings here and there. But for the most part, those weren't traditional bank deals, are not in the right locations, and they might not have been well owned. So, I don't expect that there will be, a lot of noise in those renewals.
Steve Moss: Okay. Great. Thank you very much for all the color. I appreciate it.
Paul Perrault: You're welcome. Thank you.
Operator: Our next question comes from Laurie Hunsicker of Seaport Research Partners. Laurie, your line is now open. Please go ahead.
Laurie Hunsicker: Great. Hi, Thanks Paul and Carl.
Paul Perrault: Hi Laurie.
Carl Carlson: Hi Laurie.
Laurie Hunsicker: Just wanted to go back to commercial credit, please. So starting with your $14.8 million off the street that came over into non-accrual. Is that a Class A or Class B?
Paul Perrault: It's probably considered Class B.
Laurie Hunsicker: Class B. Okay. And then did you have the vacancy on that?
Paul Perrault: I don't have that in front of me. It's not empty.
Laurie Hunsicker: Got it. Okay.
Paul Perrault: But, it is not quite enough.
Laurie Hunsicker: Okay, yes that's true of most of Boston, right? And then you didn't have a current debt service on that?
Paul Perrault: Again, I don't have that in front of me. But it was not [LOP] yes.
Laurie Hunsicker: Okay. And then is there - do you have a specific reserve against that $14.8 million credit?
Paul Perrault: On that one, I don't think so.
Laurie Hunsicker: Okay. Okay. And then the two commercial….
Paul Perrault: We only take a specific reserve. We only take a specific reserve when we've got a pretty serious situation, and this one is not quite in that category.
Laurie Hunsicker: Okay. Okay. That's good. Your two commercial charge-offs, can you give us a little color as to what they were in the quarter?
Paul Perrault: Yes. Those - we had big reserves against both of them. These are things that have not been going well for quite some time. One is a medical enterprise and the other is a development enterprise. And in both cases, their demise was self-inflicted wounds. It was not a market driven thing, they were just not managed properly, and things fell apart. So, the good news is it wasn't the market. The bad news, is that we still lost some money.
Laurie Hunsicker: So, they were both C&I credits.
Paul Perrault: Correct. Yes.
Laurie Hunsicker: Okay. Okay. And then just going back to office here, your $747 million book. Just hoping for a refresh on a couple of things. How much of that is lower risk medical?
Carl Carlson: I don't have those numbers in front of me, Laurie. It's not a big deal - that was not a big part of our portfolio in the office sense. Sometimes it stands up in the owner-occupied - it's more in the owner-occupied side of things.
Laurie Hunsicker: Got you. Okay. And then can you just help us think about of your $747 million, how much is Class A versus B versus C?
Carl Carlson: We're not big Class A lenders. So it's a small amount.
Laurie Hunsicker: Okay. And then I know that most what you do is in the suburbs, but can you just help us think about how much of your exposure roughly is downtown Boston?
Carl Carlson: I think, we provided that in the deck.
Laurie Hunsicker: You do. Okay. I'll go back and look at that, I missed that. Okay. And then last question on office. I'm sorry to put you still on the spot here on this. But on Slide 18, it looks like you've got $26 million maturing in the fourth quarter. Any update on that? Have you had any renewals yet? I know we're early in the quarter and maybe just of the $26 million. I guess how much is A, B and C? Or just any color you can give us on what that's looking like? Thanks.
Carl Carlson: I don't have any color on the timing of when those are going to get renewed or whether it's A, B or C.
Paul Perrault: Yes. I don't know either, I haven't seen them yet, but I have not heard any noise.
Laurie Hunsicker: Okay. And then, Paul, just last question. Can you help us think about with your stock trading here below book, how you're thinking about buybacks?
Paul Perrault: Well, I'm thinking about Carl for buybacks.
Carl Carlson: I think it's an attractive [ph] area. It's an attractive area - I'm sorry, go head. Go ahead. Go ahead, Laurie….
Laurie Hunsicker: No, I was just going to say, Carl, how are you thinking about buybacks?
Carl Carlson: So, it's an attractive place to be buying back stock, but we're also very thoughtful about our capital, and we're preserving capital at this point and we're using it for growth.
Laurie Hunsicker: Okay. Great. Thanks for taking my questions.
Carl Carlson: Sure.
Paul Perrault: You're welcome.
Operator: Thank you [Operator Instructions] Our next question comes from Chris O'Connell of KBW. Your line is now open. Please go ahead.
Christopher O'Connell: Hi. Good afternoon.
Paul Perrault: Hi Chris.
Christopher O'Connell: I don't think I missed it, but I apologize if I did. Did you guys give what the loan pipeline was that at the end of the quarter in just a breakdown of the categories?
Carl Carlson: Yes, we don't really provide pipelines. Chris?
Paul Perrault: It's too hard to define.
Carl Carlson: I would say, pipelines are certainly down from previous levels, but we're still very active, more so in the C&I space, the Equipment Finance side....
Christopher O'Connell: Got it. I guess just more thinking about how are you guys thinking about loan growth going forward, given that the funding pressures are starting to abate a bit, as the organic outlook changed? And how are you guys thinking about growth into next year?
Carl Carlson: So, we've always kind of targeted $80 million to $100 million of loan growth. I think that still is a target for us per quarter. And - but a lot of that does depend on deposit growth. So as long as the deposits are there, we'll be continuing to grow loans. The market is still active. There's still very good customers that we're talking with. So again, it's about the deposit side.
Christopher O'Connell: Got it. And as you guys are kind of looking at the market right now and the different dynamics with the Fed tightening, where are you finding the most attractive sectors or subsectors in terms of what type of growth you want to put on the balance sheet at this point?
Paul Perrault: The equipment and C&I are certainly very attractive and we're very active in all three banks in these areas, partly as a result of the displacement of last spring of lots of companies, are now banking with somebody that they didn't choose. And so, that has been providing some opportunities for conversations and proposals. But that stuff takes a little time to harden up and that's kind of the period that we're in now. And that's why we have a fair amount of optimism as we go towards the end of the year. Some of these companies want to wait until the first of the year for things like treasury services, so there's a good feeling in the air, but it would be in equipment and C&I mostly. And we'll stand by on real estate. We'll take care of our customers as needed, but there's not that much going on in real estate.
Christopher O'Connell: Got it. And should you take the NIM comments around another five to six bps maybe next quarter or potentially better if you see a little less pressure to be that - that, that could be the inflection point for the margin and start to head up in '24?
Carl Carlson: That's our current modeling suggest that.
Christopher O'Connell: Great. That's all I have for now. Thanks for taking my questions.
Paul Perrault: Thanks, Chris.
Carl Carlson: Thanks, Chris.
Operator: Thank you. This concludes our question-and-answer session. I'd like to turn the conference back over to Mr. Perrault for any closing remarks.
Paul Perrault: Thank you, Alex, and thank you all for joining us this afternoon, and we will look forward to talking with you again next quarter. Good day.
Operator: Thank you for joining today's call. You may now disconnect your lines.